Operator: Good afternoon, everyone, and welcome to Destiny Media Technologies' third quarter results conference call. Thank you for joining us on the call today.
 Before we begin, I'd like to announce that we will be referring to today's earnings release, which was sent to the newswires earlier this afternoon. I'd also like to remind everyone that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company's filings with the SEC and SEDAR, and the company does not assume any obligation to update information contained in this call.
 During this conference call, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of, or as a substitute of, or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company's presentation may differ from similarly titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release.
 With that, I will now turn the call over to your host, Fred Vandenberg, Chief Executive Officer. Please go ahead. 
Frederick Vandenberg: Thank you. Hi, everyone, and thanks for joining the call. I think we're going to dispense with the real number portion and the review of the financial statements as they're fairly straightforward. Sandra can help me answer any questions about the specifics about them. But I wanted to focus in on what we've done since the last quarter to accomplish our goals.
 Revenue grew by 10% -- a little over 10% before adverse exchange rates. And we're happy with that, all things considered, but we're really focusing on making the groundwork for longer-term growth. On this call, I will talk a little bit more about general approach, and then get into specifics.
 We started off the year with 6 identified targets for revenue growth. And for each of those targets, we have a specific strategy. But as we go along, we revisit and remind ourselves exactly what we're trying to accomplish. And this is something we do in the office all the time. So I think it's a good thing to do here. Some of the things I'm going to say are obvious, but it's never a bad thing to just reset and remind ourselves what we're really trying to accomplish.
 We, as a company, really only have one goal and that's to maximize shareholder value, and that's it. So how do we do that? Our approach has always been to position ourselves for the greatest amount of revenue and income growth that we can. This is the one thing that I think we have the most control over. And at some point along that path, we start to market the stock.
 So how do we do that? We start by narrowing our focus. About 18 months ago, we decided to focus in on Play MPE and do one thing well rather than a few things poorly. So with that, we started catching up on much-needed product enhancements and that process continues, the most significant being the encoder access to Mac users.
 At the same time, we started improving internal processes and staffing resources, and those changes also continue to occur. We've been relatively quiet when it comes to marketing the stock because I believe that other things have taken priority. And most importantly, we had to improve the product, in this case, the product being the company, before we brought in marketing resources.
 That's going to change. Some of you may have noticed that we started posting items on social media, specifically LinkedIn, to do some company announcements. This is just starting, but we'll do more of that for certain announcements that are -- they're not material. They're not press release-worthy, but it'll give you a sense of what we are doing on a day-to-day basis and showing you how we're progressing.
 When I talk about the market size for Play MPE and say we're between 5% and 10% of the worldwide market, I think that's a tremendous size of market relative to our market cap. If successful in capturing that market, I believe our annual income would be higher than our current market cap, for example. And I think we'll be successful in growing that market share.
 But we see many opportunities beyond what we currently do. The music industry is still very much at the beginning of evolving into the digital age. The farther we get down the track of shoring up and expanding our existing business, the better we'll be able to execute on additional revenue ideas.
 Very generally, we see Play MPE as an ecosystem where both recipients and senders engage and solve more of their day-to-day needs. Right now, we charge senders for delivery of the song. In the future, we'll provide greater functionality to both sides and obtain revenue for that enhanced functionality. I've hinted at some of those ideas in the AGM address but -- so I won't go into those, but this does bring me to what we've done in the quarter to move things along.
 The first, our staffing changes. Over the last quarter, we've added a new product to the -- Director of Product Management; a new tech support/release coordinator, it's a combined role; and a new inside salesperson. Faina is our new Director of Product Management. I spent much of the quarter recruiting for that position. And she brings a lot of great ideas, a very positive approach and has really hit the ground running.
 The other 2 positions are more junior, but they're newly-created positions required to facilitate growth. The new support person is really there to help with the expansion of Play MPE and as we enter into new territories. There's a bit of legwork to set up a new network at a new territory, getting content in the system, et cetera, et cetera. The inside sales person really handles new leads and frees up our business development staff to focus in on more strategic objectives. We're also -- we have 2 new back-end developers starting within the next week. I think it's actually this week. And we're recruiting for an additional biz dev person, a product manager, a front-end developer and a Director of Development.
 Process improvement. We've made a number of tweaks in our processes, and we continue to improve each day. I'll give you an example. The -- we've added CRM and integrated that into our billing system. I think that was towards the end of fiscal 2017. So it's [ about ] 18, 21 months, something like that, ago. We're now creating dashboards to really learn more about how effective our activities are on a day-to-day basis to sort of learn what's effective in growing revenue and what's not and to identify any issues that may arise.
 For example, in the quarter -- in the current quarter, Sony Sweden's revenue declined a little bit, and that's because they deleted part of their list over concerns over the GDPR requirements, which is a data protection rule. For a variety of reasons, that's a little bit surprising, but we have a good solution for them. But the concern is it impacted our results by about 1% adversely. The concern here though is, is how quickly we identify the issue. I wasn't happy with how quickly we did, but we're going to fix that and make sure that we're monitoring our activities more proactively.
 We also had some product updates. There was quite a number. We have a pretty good cadence of releasing new features, but 2 are probably worth a little bit of dialogue. The first one, we integrated with BDS. This is a Nielsen subsidiary, and this will help create a network of use for us in Canada and the Latin genre of music.
 We also launched new player apps for Android and iOS, and these are reasonably important. The reason is a little bit subtle. These apps generally help our recipients in their day-to-day workflows. And so when we're trying to displace a competitor in a new geographic segment, take Canada for example, we approach our customers directly and do our regular sales bit, but we also approach the people they market to. That's our recipients. And the more demand that our recipients communicate to our customers, the greater chances that product switches over to Play MPE.
 So revisiting our 3 -- or sorry, 6 main initiatives for the year. The first is new genres of music in the United States, so Top 40, Urban, Rhythmic. We continue to grow in this segment, specifically with independents and Warner -- Warner Records. Our independent revenue in the U.S. is up over 10% versus the same quarter last year, and Warner is up 33%.
 Canada. We've just started commencing CD content. Content is important because when you enter a new territory, you want recipients to have a library of music. So we're just inputting that as we speak. And I think we'll have -- we'll make some significant progress in revenue in the last calendar quarter of 2019.
 Scandinavia. Our revenue was down quarter-to-quarter, but it's really a function of Sony's -- the decline I spoke of, of Sony and some huge releases we had in the same quarter in the prior year, but I think that will switch in Q4. One thing that I think is worthy of note here is that our last [ trip out ] Warner Sweden put us in contact with Warner in the Baltics, and that's in Lithuania, Latvia and Estonia. We trained them and they started in Q4. So this kind of revisits the reset that we typically do. This was not one of our targets, and yet it's a new geographic segment that is just starting and hit in Q4 and it's kind of a low-hanging fruit that we're going to pick.
 U.K. Our approach here is really to increase our use first with trials and to establish a stronger network of use. We've had some traction here. We've had some trials with independents, and we had our first Sony UK release ever. It's only one release, but it actually performed very well, and we're just going to keep plugging away and try to grow the use in that market. The U.K. is a reasonably large market by itself, but it's also strategically important. It's also a very fractured market. So I hope once we start to get some more traction that it will snowball.
 South Africa. We did a training with Warner South Africa. I think if you've been listening to these calls, you've probably heard me say that before, and that's because we -- this is the second time we trained them. We'll keep at it. It hasn't translated into new use yet, but we do see some engagement there. So we'll figure that out.
 And last but certainly not least is a Warner global agreement. I have previously mentioned that we put a proposal together in front of Warner, and we think that's -- that proposal makes a lot of sense for them. But we're trying to grow revenue from the bottom-up as well, and I think you probably have got a flavor of that from my comments. But we've seen an increase of 27% in revenue in Europe and 33% in the United States. We're expecting to see Canadian content very shortly. We did the South African training. We have the new Baltic use, et cetera, et cetera.
 We're also engaging with their promotion staff, and I believe we've identified some reasonably easy process improvements that we can build out for them. And we hope that, that translates into a groundswell of demand for Play MPE within Warner, and that will facilitate worldwide growth. We have to map this out specifically, but I think we can make these changes reasonably -- in a reasonably short term and leverage that into a global deal.
 That's where we stand on initiatives. One last comment. We've been recruiting. Our staff levels are increasing. So this will put a little bit of upward pressure in expenses. I don't have projections updated. So it's a bit challenging to predict where this will all shake out. But while I see a little bit downward pressure on income, I don't -- we'll stay income-positive as far as I can see. And I think that we will continue to increase the rate of revenue growth that -- so our, potentially, our revenue -- or other income, rather, is still growing.
 And I think that's it. I'll turn it over to questions. 
Operator: [Operator Instructions] We have no questions at this time. You may proceed.
 We do have a question. It comes from [ Jim Watt ], a private investor. 
Unknown Attendee: Just a short question on the -- it's kind of off the record here, but I mean, not the record but the last thing you showed today. But where do we stand with the lawsuit with the former CEO? 
Frederick Vandenberg: We have a trial set for next April. Not much has happened. Not much really I can say about it. 
Unknown Attendee: Okay. So it hasn't been resolved yet. It's still on the docket bin in other words? 
Frederick Vandenberg: It is not resolved. It's on the docket. I remain very confident in a positive result from that. It depends on -- I mean, ultimately, how we handle that is we'll do it in the best interest of the company for the long term. It's -- we'll figure it out. It's out there. It's just not -- I kind of forgot about it, to be honest with you, until you asked me about it, but it's -- it will come up again next winter, I am sure.
 Thank you. One thing I do want to clarify, and I'm not sure how I said it. When I said the European revenue is down or the Scandinavian revenue is down, that's actually with just Sony and the independents. Overall, it's up. We're doing quite well in Europe in general and in Scandinavia. So I just wanted to clarify that. 
Operator: There are no further questions. Now you may proceed. 
Frederick Vandenberg: Okay. Thanks, everyone, for joining the call, and next call will be at the end of the year. Thanks, again. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.